Operator: Welcome to the Jabil’s Third Quarter 2015 Fiscal Year Earnings Call. Beth Walters, Senior Vice President, Communications and Investor Relations, please go ahead.
Beth Walters: Thank you. Welcome to our third quarter of fiscal 2015 earnings call. Joining me today are CEO, Mark Mondello, and our Chief Financial Officer, Forbes Alexander. This call is being recorded and will be posted for audio playback on the Jabil website at jabil.com in the Investors section. Our third quarter press release, slides and corresponding webcast links are also available on our website. In these materials, you will find the financial information that we will cover during this call. We ask that you follow along our presentation with the slides on the website, beginning with Slide 2, our forward-looking statement. During this conference call, we will be making forward-looking statements, including those regarding the anticipated outlook for our business, our currently expected fourth quarter of fiscal 2015 net revenue and earnings results, the financial performance for the company and our long-term outlook for the company. These statements are based on current expectations, forecasts and assumptions involving risks and uncertainties that could cause actual outcomes and results to differ materially. An extensive list of these risks and uncertainties are identified in our Annual Report on Form 10-K for the fiscal year ended August 31, 2013 on subsequent reports on Form 10-Q and Form 8-K and our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. For today’s call, we will begin with some opening remarks from Mark Mondello. We will then move on to our third quarter results and updated guidance for fiscal fourth quarter of 2015 from Forbes Alexander. We will then open it up to questions from call attendees. I will turn the call over to Mark.
Mark Mondello: Thanks, Beth. Good afternoon, everyone. I appreciate you taking time to join our call today. As always, I would like to begin the call by thanking our people here at Jabil. I couldn’t be more proud of our team. They are simply the best. As for our third quarter results, we delivered core operating income of $160 million on revenues of $4.36 billion. These results illustrate that we are clearly delivering the plan and executing our strategy, a strategy firmly grounded on serving a diverse portfolio of businesses and brands. Forbes will provide more detailed results and discuss our fourth quarter guidance during his prepared remarks. For now, I would like to discuss the current state of our business. Our strategy is fully intact. For the back half of this year, we realized strong performance from our EMS division in terms of core operating income. At the same time, we are making significant investments within our DMS division in preparation for a fast start to fiscal year ‘16. For the full fiscal year, fiscal year ‘15, I remain confident that we will deliver $2 in core earnings per share. As I have stated during our past two earnings calls, we believe that expanding our investments at this time makes perfect sense if opportunities surface, specifically growth opportunities that align with our strategy. As such, we have made a decision to expedite further expansion of our newly formed campus in Chengdu, China. We made this decision based on optimizing our construction costs and modeling our needs for additional capacity, capacity based on our growth projections for the next two to three years. We are fortunate to find ourselves in a situation, where business conditions dictate the need for an increase in our overall manufacturing square footage. In addition, management has approved incremental capital investments for our Electronics Manufacturing Services division. The result of these two decisions will be an increase of $140 million to $180 million against the high end of the capital expenditure range I provided six months ago during our December earnings call. With this, it should be noted that we are still well positioned to deliver $150 million to $250 million of free cash flow this year, a reflection of strong cash generation across the corporation. Looking forward, our business continues to exhibit excellent momentum. As we approach fiscal year ‘16, I will judge our success throughout the year by the following: excellent retention, development and care of our people; continued positive trends and trajectory of our net promoter scores; further expansion of our strategic capabilities; year-on-year revenue growth above 5% for our EMS division; year-on-year revenue growth above 15% for our DMS division; and a minimum of 20% year-on-year growth of core EPS. My confidence in our ability to deliver is reinforced by very real catalysts, catalysts such as the current outlook of our share of wallet expansion and continued market share gains; the scale of product ramps currently underway inside of our factories; the attractive opportunities available throughout the markets we serve; the collective aggregation of computing power, cloud access and storage, digitization, mobility, sensors and predictive analytics; and finally, the secular trend specific to connected devices that’s so pervasive. With that said, I will provide more complete details in guidance specific to fiscal year ‘16 during our September earnings call. A simple yet impactful proof point of how we are advancing our go-to-market approach is clearly illustrated inside of our Blue Sky innovation center in Silicon Valley. We hosted a 1,000 plus customers, friends and suppliers at our formal grand opening back in April. Our center offers easy access to our leading capabilities as they are now showcased under one roof. Blue Sky is where we bring together multifunctional experts to talk and think. Think about what-if scenarios, brainstorm in a collaborative manner, look beyond the device, look beyond the hardware itself, how are real problems addressed in today’s world, how are solutions implemented with incredible speed and accuracy. Since April, we have hosted roughly 50 customer meetings at Blue Sky with a full pipeline of additional meetings planned for and confirmed through the balance of our fiscal year. It’s early days, but the zeal and passion around Blue Sky is simply awesome. Our team here at Jabil loves being part of a high-energy ecosystem centered around growth, innovation and complex technical challenges. Why is this so important? It’s important, because when the day is done, it’s all about having an inspired team, a team that excels when it comes to taking great care of our customers. In concluding my prepared remarks, I think about the resiliency of our business. Our strategy to lean into diversified growth is proving positive, both at a corporate level and a divisional level. Growth remains top of mind for our entire team. I believe we are squarely on track to deliver a strong fiscal year ‘16. We have a great team, outstanding customers, incredible reach, massive scale and unique solutions, solutions which align perfectly with the needs of today’s marketplace. Our team will continue to provide more and more products across more and more end markets and do so, on behalf of the greatest brands in the world. Thank you. And I will now turn the call over to Forbes.
Forbes Alexander: Thank you, Mark. If you are following along, I’d now ask you to turn to Slide 3 of the presentation posted on our website, where I will review the results for our third fiscal quarter. Net revenue for the third quarter was $4.36 billion, an increase of 15% on a year-over-year basis. Our GAAP operating income was $135 million while GAAP net income was $72 million, GAAP net diluted earnings per share being $0.37. Core operating income, excluding the amortization of intangibles, stock-based compensation and restructuring expense, was $160 million or 3.7% of revenue. Core diluted earnings per share were $0.49. Now turning to Slide 4 for our third quarter segment discussion, our Diversified Manufacturing Services segment saw revenues increase 41% on a year-over-year basis, in line with our expectations. Revenue for this segment was approximately $1.62 billion, representing 37% of total company revenue. Core operating income for this segment was $65 million or 4% of revenue reflecting continued investment in product development, capacity and multiple product ramp prepositioning as we approach fiscal 2016. The Electronic Manufacturing Services segment performed extremely well during the quarter despite end market related softness in our enterprise and infrastructure business. Revenue for this segment was $2.74 billion, an increase of 4% on a year-over-year basis. Core operating income for this segment was $95 million or 3.5% of revenue. The improvement in profitability for this segment was a result of favorable mix coupled with strong execution and the benefits of previously announced restructuring activity. I would now like to review our cash, return metrics and capital expenditures on Slide 5. We ended the quarter with cash balances of $963 million. Core EBITDA for the quarter was approximately $290 million or 6.7% revenue. Our year-to-date EBITDA is $875 million, representing 6.6% of revenue, while core returns on invested capital were 17.1%. Net capital expenditures during the quarter were $259 million, bringing our yearly investment spend to $722 million as we maintain our focus on growth for fiscal years ‘16 and ‘17. We are extremely pleased with our operating cash flow generation during the quarter of $358 million. With this performance, cash flows from operations for the nine months were $883 million. And as a result, we remain extremely well positioned to achieve $200 million of free cash flow for the full fiscal year. Now I will ask you to turn to Slide 7. Our outlook for the fourth fiscal quarter, we expect revenue in the fourth quarter to be in the range of $4.45 billion to $4.65 billion, where at its midpoint an increase of 12% on a year-over-year basis. Core operating income is estimated to be in the range of $135 million to $165 million and core operating margin in the range of 3% to 3.5%. Core earnings per share are estimated to be in the range of $0.40 to $0.50 per diluted share. And GAAP earnings per share are expected to be in the range of $0.27 to $0.38 per diluted share. This is based upon a diluted share count of 197 million shares. Based on current estimates of production, the tax rate on core operating income is expected to be 26% for the quarter. The Diversified Manufacturing Services segment is expected to increase approximately 35% on a year-over-year basis, with revenues estimated to be approximately $1.75 billion, while the Electronic Manufacturing Services segment is expected to increase approximately 1.5% or with revenues of $2.8 billion. And I will turn to Slide 8 for the full fiscal year. Our expectations for the full fiscal year that overall company revenue will grow 13% to $17.8 billion, while our DMS segment is anticipated to grow 36% to $7 billion and our EMS segment, 2% to $10.8 billion. The earnings per share estimate for the full fiscal year remains at $2. In summary, the full fiscal year remains on track to be a strong year. Operational cash flows continue to facilitate rapidly expanding capacity in footprint investments, investments that are uniquely positioning Jabil for continued strong growth in revenues and earnings in fiscal 2016 and beyond. I would now like to hand the call back over to Beth.
Beth Walters: Thanks Forbes and Mark. Before we begin the question-and-answer session, I would like to remind our call participants on the other side that in customary fashion, we will not be address any customer or product specific questions. Thank you for your cooperation. Operator, ready to play on.
Operator: Your first question comes from the line of Steven Fox with Cross Research.
Steven Fox: Thanks. Good afternoon. Two questions for me, first of all Mark, looking at some of your comments for next fiscal year, especially around sales growth, can you just sort of maybe highlight some of the drivers that you are most confident in sort of setting those bars like you did. And then just secondly, Forbes looking at your gross margins for the quarter they continue to creep up pretty consistently, was there anything in particular you would highlight relative to the quarter just completed around the gross margin improvement? Thanks.
Mark Mondello: Hi Steve, so I think in general we are seeing good opportunities across the company and that’s where I made the comments, I made around the growth rates for both EMS and our DMS divisions, EMS being at the high-end of the range, if not beyond, and DMS being above and beyond the long-term range. The long-term range of our DMS division for growth is I think 8% to 12% and I think we will do 15% or greater. And again, we are just seeing really nice opportunities for the company across the entire business. And I think again it’s reflected in the CapEx that you are seeing for this year.
Forbes Alexander: And the second part of your question Steve in terms of gross margins. Yes. I think you are correct. Sequentially it’s about 10 basis point move upward. Nothing extraordinary in the quarter, as I said in my prepared remarks, we had an outstanding quarter in terms of performance from our EMS segment, really based around favorable mix, strong execution and the benefits of some restructuring that we had initiated last year. And I think as we move into ‘16, I think we could see continued growth in that gross margin as we focus on reining in some of that SG&A expense.
Steven Fox: Great. And then just real quick follow-up, on the incremental CapEx you were talking about in terms of spending this year versus where you were saying six months ago, should we think of those projects as you are getting a return on that in fiscal year ‘17, not ‘16?
Mark Mondello: On the incremental I have talked about, so I would say 40%-50% of that I think we will get a return on in ’16 and the balance in ‘17, Steve.
Steven Fox: Great.
Mark Mondello: The CapEx, the CapEx for the EMS business we are going to get a pretty quick return on based on the opportunities that we booked. And then as far as finishing out or continuing construction on the Chengdu campus, that’s going to be late ‘16 and into ‘17.
Steven Fox: Got it. Thank you very much.
Mark Mondello: You’re welcome.
Operator: Your next question comes from the line of Sean Hannan with Needham.
Sean Hannan: Yes. Thanks for taking my question. Firstly here, in terms of the expanded investments, did I interpret this correctly, it sounds like there is a decision to expedite these investments in an incremental fashion versus what you have already signaled in last quarter’s call for this upcoming fourth quarter and then into fiscal ’16, can you help me to better understand the incremental here?
Mark Mondello: Yes, Sean. So I don’t – let me answer it this way and tell me if I missed the mark and we can keep talking. So to put in perspective, right we – if I look back a year ago from right now and I look at where we are headed by the first and second quarter of fiscal year ‘16, we will have added, rough numbers, we will have added 4 million to 5 million square feet of manufacturing space in Asia. So, it’s a massive undertaking and that’s what’s driven a big part of our CapEx. The reason we didn’t capture it beginning of the year is our models at the beginning of the year suggested that we may not need it until ‘17 and ‘18 and that’s just not the case. So, again, just to kind of frame out the magnitude, we are adding an awful lot of square footage in Asia. What we decided to do in Q3 and now in Q4 is we got construction crews onsite in Chengdu. And by the way, we have also expanded as I said in the March call, we are expanding in Indonesia, Malaysia and then we are adding two or three additional factories for our Nypro business, but where most of this is being driven is as we have got construction crews onsite, we got Jabil people supervising the construction from a safety and an environmental perspective. And we could go ahead and stop all that based on CapEx budgets or we can continue to move forward with the momentum we have and just – and continue from an optimization standpoint around cost versus bringing crews back and forth. So, that’s the decision we have made and I think it’s an appropriate decision for the business the way things sit today.
Sean Hannan: Okay, that’s fair and that’s helpful. Now, in terms of the follow-up here, I think that we have been getting some signals from your folks that there has been a lot of effort in terms of the further diversification for other mobility or other types of customers within your DMS space as well as the progress that you are making at Nypro perhaps year-over-year stepping up the growth levels there. Can we get a little bit more clarity in terms of how you are viewing those pieces of your business as a growth profile versus the other well, primarily one main other area within DMS, so basically, you don’t have just one customer pushing DMS trying to get better clarity around the other diversified drivers within DMS that are pushing revenues forward? Thanks.
Mark Mondello: Yes, Sean. So, I just – I can’t give you – I know it’s unsatisfying. I just can’t give you a lot of detail. I can tell you that the macro conditions we are seeing with growth rates contracting a bit in China, what we are seeing in the southern part of Europe and what we are seeing in the U.S. if we are able to take our EMS business year-on-year from ‘15 to ‘16 and grow it 5% or greater and if we are able to grow our diversified business in the range of 15% or greater, I believe that’s a heck of an accomplishment in the context of what’s going on from the overall macro environment. And I will tell you that the growth that we are seeing is very well diversified. So, at this point, I will leave it at that. And as I committed in my prepared comments and remarks, we will provide more color for you in a full year model in our earnings call in September.
Sean Hannan: Thanks so much.
Mark Mondello: Yes.
Operator: Your next question comes from the line of Brian Alexander with Raymond James.
Brian Alexander: Yes, just a question on margins for each of the businesses. For EMS, 3.5% operating margin, Forbes, that was the highest result in I think several years, just curious what drove this and how sustainable this is especially given that the revenue came in below expectations this quarter? It looks like you are expecting deceleration next quarter. And for the DMS business, 4% operating margin, I’m just curious did you experience any timing difference or change to the $60 million of second half costs for DMS to be called out a quarter ago? It looks like the 4% margin was probably below most people’s expectations and I don’t know if you are still expecting $130 million to $160 million for second half DMS operating income that you talked about a quarter ago. Thanks.
Forbes Alexander: Sure, Brian. So, on the EMS side, yes, you are right, outstanding performance in the quarter, 3.5 points, so, 50 basis points above the long-term midpoint range for that business. What happened in the quarter was we saw some favorable mix even with the shortfalls in revenue, if you will, around the enterprise and infrastructure business. So, the mix swung favorably. We saw some nice growth within our industrial business in the quarter. That certainly had some activity there. The execution was particularly strong across all market-facing portions of the business there. And then we did talk previously about some restructuring activity kicking in the back half of this fiscal year. We announced our restructuring plan, oh gosh, four, six quarters ago and it’s really starting to take effect now where we unfortunately did close out in the year a facility here in the United States and have made significant headcount reductions in Western Europe. So, all those coupled together really helps support that. Then as we move forward, you are going to see some of this ramping business that Mark has referred to in terms of investments there. So, I would encourage everyone to model that business, we are averaging for around the 3% mark or the midpoint of our overall long-term range. On the DMS side, we still expect to be in the range of that $130 million to $165 million for the back half of the year just given the scale of ramps, perhaps towards the lower end of that range, but certainly yes, we are on track there to deliver at least $130 million in the back half of the year and that will set us up very, very strongly as we move into Q1 of ‘16.
Brian Alexander: So, as you look to next year and I know we are not giving explicit guidance, but we have enough information to back into an expected operating margin of 4% for next year based on the revenue growth that you gave and the EPS growth that you gave. Should we assume that within that DMS gets back above 6% operating margins for the full year given that it looks like for the second half, it’s actually going to be below 4% if I use the low end of the range that you just gave? So, how do we get from below 4% in the second half to 6% or above, which I think you would need to achieve to get to the 4% margin for the company for next year? Thanks.
Mark Mondello: Hey, Brian, it’s Mark. So, I will talk – why don’t we talk more about that in the September call. And again, our commitment is to give you better detail, better color around ‘16 in September, but I wouldn’t look at – I wouldn’t look at a 4% range for DMS for FY ‘16. We have talked about for the last number of quarters is our story is, is for this fiscal year is that it would be a strong half – strong first half for DMS, which it was and the business itself is still quite strong for DMS, but the back half was going to be an investment period for us and that’s exactly what’s happening. On EMS, we talked about for the last couple of quarters the fact that the back half of the year would be stronger for our EMS business and again that’s exactly what’s happening. As we move into ‘16 again, I think the information we will provide in September will give you good opportunity to kind of shape out your models, but at a high level I would again envision the first half of ‘16 to be strong for DMS and I’d view EMS to be strong for all four quarters and strong for EMS would be margins in the middle of the range, which I think is 2% to 4%.
Brian Alexander: Could you just confirm that you are still expecting $60 million of one-time costs for the back half? That’s my last question.
Mark Mondello: Yes, that’s confirmed. And again, if you take a look at what we have published for Q3 and what we are publishing for Q4 and you can work your math pretty quickly and get an idea of the fact that we are going to be towards the low end of the range I gave you for DMS for the back half of the year, but if you sum up the cumulative operating profits for DMS and you add $60 million to that, you will see that the margins normalize nicely. So, again, it validates what we have been telling you that its Q3 and Q4 are an investment period for us as we prepare for the first half of ‘16. Yes.
Brian Alexander: Okay, thanks a lot guys.
Mark Mondello: You’re welcome Brian.
Operator: Your next question comes from the line of Shawn Harrison with Longbow Research.
Unidentified Analyst: Hi, good afternoon. This is [indiscernible] calling in for Shawn. Just piggybacking off of that $60 million in one-time costs, so we should expect that all of that will be gone by the fourth quarter, correct?
Mark Mondello: You can expect that all of that will be gone by the first quarter, so 1Q of ‘16.
Unidentified Analyst: Okay, alright. And then secondly with regards to the CapEx guidance, you mentioned that it’s going to be about 140 to 180 above what you had previously provided, is that – does that bring up the range I think last time you said 650 to 750. So does that bring that up to the 890-plus range or does the 650 you mentioned last time incorporate that as well?
Mark Mondello: No, I think you are thinking of that correctly. As we sit today and again there is whatever 60 days left in the year I think our overall CapEx for Jabil for the fiscal year will be in the 900 range, that’s correct. That’s the proper way to think about that.
Unidentified Analyst: Okay. It sounds good. That’s it for me. Thank you.
Operator: Your next question comes from the line of Amit Daryanani with RBC Capital Markets.
Mitch Steves: Hi, this is Mitch Steves filling in for Amit. I just had a quick question on the operating margin line as well. So based on what you are guiding for the $60 million impact, does that imply that Q4 August should be the trough and then we will see margin expansion starting in Q1 of next year, is that – am I understanding that correctly?
Mark Mondello: I think that’s the fair way to think about it, correct.
Mitch Steves: Okay. And then secondly, I am going to kind of piggyback on Brian’s original question there, if I would run the math and just run it roughly 3% margin and I would assume your DMS kind of gets back up 6% range, but kind of get into higher than 4.5% or so at the end of the year, because that’s something that you guys think is achievable or is that just very aggressive ramp-up towards the end of fiscal year ‘16?
Mark Mondello: Again, I – what I talked about in my prepared comments again was the growth rate for DMS and EMS and what I believe is very achievable for us is to take our core earnings per share up 20% year-on-year as a minimum. So again I would kind of work with that and we will dial this in with better resolution as we get towards the first half of the year in the September call.
Mitch Steves: Okay, that’s it for me. Thank you.
Operator: Your next question comes from the line of Matt Sheerin with Stifel.
Matt Sheerin: Yes, thanks. Just a question regarding the core EMS business and the weakness you are talking about in enterprise and infrastructure, could you give us some more color there, obviously you are not the only one talking about weakness in telecom related spending, storage and other areas, but could you give us some more color?
Mark Mondello: Sure. So I think in the third quarter and then a bit for the fourth quarter, our enterprise and infrastructure business is a bit weak. So it’s coming out of that group. I would remind you that our EMS business is made up in three tranches, right. We have got our enterprise infrastructure, we have got our high velocity, which is kind of our commodity type consumer business and we got industrial and energy. Industrial and energy is holding nicely. High velocity is actually doing reasonably well And then enterprise and infrastructure and it’s really spread across the board, it’s not any one segment or any one customer. It’s – that business is quite broad and it’s sprinkled across the business in general. I do believe that we will see a decent recovery in enterprise and infrastructure as you get into the first part of FY ‘16.
Matt Sheerin: Okay. And the 5% revenue growth expectation for EMS next year, is that contingent on any core growth in the enterprise and infrastructure or is it just mostly incremental new business wins and growth in high velocity and in the industrial area?
Mark Mondello: The 5% I have stated in EMS is kind of framed out with the current environment we are in today. So I envision a bit of a recovery in our enterprise and infrastructure business, not a lot but a bit and then combine that with market share wins. And the other thing I have said in previous calls is I am really happy about the fact that our business is growing both vertically and horizontally. So we are adding new customers and then we are also in a really good position right now where we are expanding our share wallet with some of the current brands that we serve. So all of that kind of put together is what’s driving the growth rate for EMS.
Matt Sheerin: Okay. And just lastly could you tell us if you had any 10% customers and what the top 10 customers made up as a percentage of sales?
Forbes Alexander: Yes. We have one customer about 10% and the top 10 is about 58% who we did is…
Matt Sheerin: Okay. Thanks Forbes.
Forbes Alexander: You’re welcome.
Operator: Your next question comes from the line of Sherri Scribner with Deutsche Bank.
Sherri Scribner: Hi. Thanks. Just I wanted to follow-up on does the growth next year for the EM segment, Mark talking about the enterprise and infrastructure segment a lot of the companies have talked about a back half recovery in telecom and wireless equipment, I just wanted to get a sense of if you are also seeing that and is that 5% growth predicated on a recovery in that segment or is there any particular piece of the infrastructure piece that’s going to do better? Thanks.
Mark Mondello: Yes. Sherri, I think it’s a good question and I would say yes and yes. So there were some artificial demand issues in our Q3 to carryover to Q4 in Asia, specifically China where demand was not halted, but certainly cut a bit short in our third quarter and will carryover into fourth. We think that will recover. And in general to your commentary I do think that – I do think that we will see a back half recovery versus where we sit today and that back half recovery is in our estimates when I talk about a 5% or greater growth rate in EMS for ‘16.
Sherri Scribner: Okay. And in terms of the other segments, HBS and industrial, are those going to just continue at the growth rates that they are at, do you think they will accelerate based on your program wins, what are you seeing there? Thanks.
Mark Mondello: Yes. Again, I would just stick with modeling out 5% growth rate maybe a little greater in EMS as we moved to ‘16 and that’s kind of cumulative over enterprise infrastructure, high velocity and industrial.
Sherri Scribner: Okay, thanks.
Operator: Your next question comes from the line of Jim Suva with Citi.
Jim Suva: Thank you, guys and congratulations. Can you just help us better understand of what’s going on with the profitability of the DMS, the Diversified Manufacturing Services margins, they declined quarter-over-quarter where once you kind of assume that yields and production efficiency help out, so are you doing restructuring there that is being asked by customers or Jabil’s footprint needs to change or installation of equipment or yield issues or why would your margins decline quarter-over-quarter in the DMS business? And then I have a follow-up question.
Forbes Alexander: Sure, Jim. So, overall, margins in the back half of the year for DMS, as expected, as we have talked about in the last call expect to come in around 4% for the back half of the year. And that’s really the impact of us spending in the region of about $60 million incremental capacity and building that capacity across multiple program routes, so no restructuring going on. We are in the right locations to serve our customers broadly across that space. But I think earlier in the call in an answer to a question, Mark have noted by – essentially but as we get through the end of the calendar year here we will have added another 4 million to 5 million square feet in China. So think of that $60 million being applied to that additional square footage that’s going up and bringing in the labor force and preproduction ramps around these programs. So as we move into ‘16, you will see that rebound very strongly going into Q1 of ‘16, but it’s really all around an investment phase that this sets us up beautifully for fiscal ‘16.
Jim Suva: Got it. Then my follow-up question is that, I guess, is it a fair assumption to say that the investments that pay off future profitability next year because of EPS growth, you are talking about 20% or more than 20% next year in earnings growth? Therefore, one should also assume that you get the traction and the incremental capacity expansion this year isn’t a perpetual and will happen again next year, because otherwise you would be facing ramp in costs next year that would suppress margins. So, is that fair or am I missing some pieces of the puzzle?
Mark Mondello: I am not sure, Jim – this is Mark. I am not sure I quite understand your question. Let me try to answer it this way. So, we are – we believe we will do roughly $2 a share in core EPS this year. Next year, my prepared remarks would suggest we will do $2.40 of core EPS or greater. If I take a look at the capital investments we have made this year and I apply an appropriate percentage of those investments to growth and income in fiscal year ‘16, that plus productivity gains and efficiencies that we believe will get across the business end up tying off to the $2.40 a share that the math worked out to be per my prepared comments. So, that’s kind of how I would think about it, Jim.
Jim Suva: Yes, it makes sense. Thank you very much guys.
Mark Mondello: Yes.
Operator: Your last question comes from the line of Amitabh Passi with UBS.
Tejas Venkatesh: Hi, this is Tejas on behalf of Amitabh. I guess most of my questions were asked, but could you talk a little bit about the consumer and auto sub-segments, how did they do in the quarter and also were there any geographic trends that you would highlight? Thanks.
Mark Mondello: What was the last part of the question?
Tejas Venkatesh: Were there any geographic trends that you would highlight?
Mark Mondello: The only geographic trend I would highlight would be again we saw some weakness in enterprise and infrastructure out of Asia. And other than that, nothing that was a big surprise. Again, overall our observation is the macro is still relatively weak and – but, we had accounted for that going into our third quarter and certainly going into the fourth. As far as automotive and other parts of our sectors, we really don’t break that down or discuss it although I will tell you that in general terms I believe that the automotive marketplace is moving in a direction that’s very favorable to a company like Jabil.
Beth Walters: Operator, is that the last question?
Operator: Yes, ma’am, that was the last question. There are no further questions at this time.
Beth Walters: Okay, very good. Thank you all for joining us for the call today. We look forward to following up with any follow-up questions you have on our third quarter and/or our fourth quarter and outlook. Thank you very much.